Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to the RxSight Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Oliver Moravcevic, Vice President of Investor Relations. Please go ahead.
Oliver Moravcevic: Thank you, operator. Presenting today are RxSight President and Chief Executive Officer, Dr. Ron Kurtz; and Chief Financial Officer, Mark Wilterding. Earlier today, RxSight released financial results for the 3 months ended December 31, 2025. A copy of the press release is available on the company's website. Before we begin, I would like to inform you that comments and responses to questions during today's call reflect management's views as of today, February 25, 2026, and will include forward-looking and opinion statements, including predictions, estimates, plans, expectations and other information. Actual results may differ materially from those expressed or implied as a result of certain risks and uncertainties. These risks and uncertainties are more fully described in our press release issued today in our filings with the Securities and Exchange Commission, or SEC. Our SEC filings can be found on our website or the SEC's website. Investors are cautioned not to place undue reliance on forward-looking statements, and we disclaim any obligation to update or revise these forward-looking statements, except as may be required by law. We will also discuss certain non-GAAP financial measures. Disclosures regarding non-GAAP financial measures, including reconciliations with the most comparable GAAP measures can be found in the press release. Please note that this conference call will be available for audio replay on our Investor Relations website. With that, I will turn the call over to Ron. Ron?
Ronald Kurtz: Good afternoon, and thank you for joining us today. I'd like to start by both welcoming Mark to his first RxSight earnings call and asking him to kick us off today by reviewing our fourth quarter and full year 2025 financial results, including the key drivers of performance and the trends across the business. After his remarks, I'll discuss the progress our team made in the fourth quarter and outline the steps we are taking to position RxSight for 2026 and beyond. With that, I'll turn the call over to Mark.
Mark Wilterding: Thank you, Ron, and good afternoon, everyone. Consistent with our January pre-announcement, RxSight reported fourth quarter 2025 sales of $32.6 million, down 19% year-over-year due to lower LDD sales. As you recall, we had record levels of LDD placements in the year ago period, totaling 83 units globally, accounting for $11 million of sales. In the fourth quarter of 2025, we sold 25 LDD units globally and generated $3 million of LDD revenue. Despite the year-over-year decline in the fourth quarter, we exited 2025 with an LDD installed base of 1,134 units, up 17% from the 971 units installed at the end of 2024. Turning to LALs. During the fourth quarter, we sold 28,611 LALs, down 2% from the year ago period and up 10% sequentially. Procedural volumes translated into LAL sales of $28.2 million in the fourth quarter of 2025, in line with Q4 2024. LAL revenue accounted for an all-time high of 86% of total company sales in the fourth quarter, up from 71% in the year ago period. Higher LAL revenue mix contributed to a gross margin of 77.5% in the fourth quarter of 2025 compared to 71.6% in the year ago period. Fourth quarter 2025 SG&A expenses were $27.7 million, down 2% compared to the prior year period, primarily driven by lower personnel-related expenses, partially offset by continued investments in LAL commercial initiatives. Fourth quarter research and development expenses were $8.9 million, down 3% year-over-year and 2% sequentially, reflecting lower personnel-related expenses, partially offset by continued investment in advancing our research and development pipeline. We reported a net loss in the fourth quarter of 2025 of $9.2 million or $0.22 per basic and diluted share based on 41.2 million weighted average shares outstanding. Stock-based compensation was $7.8 million, resulting in an adjusted net loss of $1.3 million or $0.03 per share. I'll now provide a brief recap of full year 2025 results. Full year sales of $134.5 million increased 4% year-over-year, reflecting a 48% decrease in LDD revenue, partially offset by a 12% increase in LAL sales. 2025 gross profit margin was 76.6% compared to 70.7% in 2024, primarily driven by a higher LAL revenue mix. Total operating expenses were $151.2 million in 2025, up 11% versus 2024. Year-over-year expense growth was driven primarily by higher personnel costs and continued investments in research and development as well as commercial activities to support our long-term strategy. For the full year 2025, we reported a net loss of $38.9 million or $0.95 per share versus a net loss of $27.5 million or $0.71 per share in 2024. Excluding $31.6 million in stock-based compensation expense, our adjusted net loss in 2025 was $7.3 million or $0.18 per basic and diluted share. Moving on to the balance sheet. We ended the year with no debt and approximately $228 million in cash, cash equivalents and short-term investments. Turning to 2026 guidance. Full year revenue guidance of $120 million to $135 million implies a year-over-year decline of approximately 5% at the midpoint of the range, primarily driven by lower LDD sales versus the year ago period. 2026 sales are expected to be the lowest in the first quarter, reflecting typical seasonality and more challenging comparisons in the year ago period. Third quarter 2026 sales will also be subject to seasonality, although we anticipate a rebound in total company sales growth in the second half of the year as growth comparisons ease and commercial initiatives begin to gain traction. We anticipate a relatively small contribution from sales outside of the U.S. in 2026, primarily in the form of early capital placements as we take a methodical approach to expanding our international presence. The team is currently focused on building relationships with key opinion leaders and collecting country-specific clinical data to position the company for more meaningful international sales in 2027 and beyond. Our full year 2026 gross margin guidance is 70% to 72%. This is down from 2025 levels, but consistent with the company's gross profit margin profile in 2024. We've taken a prudent view of our 2026 gross margin guidance to reflect the sell-through of higher cost inventory due to lower than originally anticipated production levels in 2025. However, we expect manufacturing absorption headwinds to ease over time. We expect 2026 operating expenses to be between $150 million and $160 million, representing a 1% decrease at the low end of the range and a 6% increase at the high end compared to the prior year and reflecting our ongoing investment in international expansion in addition to our U.S. sales and marketing efforts. We anticipate that R&D spending will be relatively in line with 2025 levels. Included in our costs, primarily in operating expenses, is noncash stock-based compensation expense in the range of $30 million to $32 million. With that, I'll turn it back to Ron.
Ronald Kurtz: Thank you, Mark. Although the full year financial results were below our initial expectations, 2025 was a year of meaningful progress for RxSight, for which I want to thank our 500 employees and thousands of customers as together, we advance the delivery of our life-changing LAL technology around the world. Approximately 5 years after our IPO enabled us to broadly launch adjustability in North America, our clinical outcomes remain best-in-class with doctors and patients continuing to be highly engaged with the technology and with adjustable procedures representing approximately 10% of the U.S. premium market by volume and approximately 15% by revenue, proving that adjustability is no longer a concept but an established category with real commercial and clinical validation. In 2025, following rapid years of expansion that resulted in approximately 25% of U.S. cataract surgeons being trained in this new paradigm, we initiated a number of strategic decisions to strengthen clinical and practice expertise across our user base, sharpening our approach to training, education and support of new and existing practices and doctors. Although we are still early in external validation of this journey, we have been encouraged by recent trends that indicate these efforts are beginning to take hold. More specifically, and as Mark outlined, procedure volumes improved sequentially in the fourth quarter, driven primarily by LAL utilization within our customer base. With over 1,100 LDDs in the field and an even larger number of practitioners, we have more work to do, highlighting our substantial opportunity to further leverage our installed base to drive same-store sales and patient outcomes. At the same time, we have taken a more disciplined approach to capital placements with the goal of continuing to deliver sustainable execution through superior clinical outcomes, strong customer adoption and efficient practice workflows that support long-term success. As we look ahead, our commercial focus is clear: improve utilization within our existing installed base through targeted practice engagement and new education initiatives and expand access to our technology in a measured way through disciplined LDD placement and evolving access models. We believe executing consistently across these areas will return the business to sustainable growth with adjustability uniquely positioned within the premium IOL market to address the unmet needs of both doctors and patients with the clinical thesis underlying this supported by both formal clinical studies and real-world data. To that point, we are pleased to announce that earlier this month, data from our post-approval study were accepted for publication in the Journal of Cataract and Refractive Surgery. The paper by Dr. Jack Holladay reported that 93% of LALIs achieved both spherical equivalent and residual cylinder within half diopters of target, demonstrating statistically superior refractive accuracy compared to historical studies of contemporary toric IOLs. Just as importantly, very similar results were identified in a more than 20,000 eye data registry of LAL cases presented at yesterday's meeting of the American-European Congress of Ophthalmic Surgery by Dr. John Doane, adding compelling big data to the growing body of evidence supporting the LAL platform and the ability of postoperative adjustability to provide unparalleled refractive accuracy across a broad patient population, thereby reducing outliers and enabling refractive customization that together raise patient satisfaction and grow premium procedures. With conventional cataract reimbursements facing continued downward pressure, we believe that the LAL is well positioned to deliver the superior outcomes demanded by patients as well as the enhanced profitability that is increasingly important to sustain ophthalmic practice viability. RxSight remains committed to advancing adjustability to even higher performance levels as evidenced by the approximately 20 FDA approvals in direct support of product development over the past 5 years, with several new submissions planned over the next 18 months. These efforts continue to make LAL technology easier to adopt for a greater range of customers by enhancing the overall value proposition for both doctors and patients. We believe that this historic pace of innovation presents another opportunity to engage with customers as we further the understanding and utilization of already released lens features like ActivShield, LAL+ and expanded IOL powers as well as recently added LDD capabilities and our updated LDD and insertion device platforms with even more innovation to come. Internationally, we are building a durable foundation for long-term success with a focus over the next year on engaging with local clinicians to develop key opinion leaders in Europe, Asia and now Australia, who can generate their own early in-country outcomes and become advocates for adjustability in these major markets where the majority of the global premium IOL procedures are performed. Over time, we believe the growing prevalence of myopia and earlier cataract surgery in international markets represent meaningful long-term tailwinds for the LAL as optimizing binocular vision and refractive accuracy become increasingly important for patients seeking spectacle independence and high-quality visual performance. We are also applying the lessons learned in North America to ensure that our teams and practices are well prepared to succeed as they introduce this paradigm to their patients. In summary, we are encouraged by the progress we saw in the latter part of the year with early signs of improvement and an organization that is better aligned to deliver superior clinical outcomes. At the same time, we are realistic and taking a prudent approach to the durable opportunity RxSight's adjustable platform has created. There is certainly more work to do, and our focus is on delivering consistent performance over time. With an improved commercial structure, a large installed base, continued innovation, early infrastructure in key international markets and a strong balance sheet, we believe we have the foundation in place to execute deliberately and build momentum. We are confident that the LAL platform will continue to help more patients globally, positioning the company to drive strong growth in the years to come as stakeholders increasingly recognize the significant benefits of RxSight's differentiated technology. And with that, I'll ask the operator to open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Robbie Marcus with JPMorgan.
Alan Liang: This is Alan on for Robbie. Quick question just on the 2026 guide. Curious what you're seeing so far in the underlying health of the market when it comes to both LALs and LDDs. You ended the year with a quarter a little bit better than expected on the LAL front. So curious how we should think about that progressing through 2026 and what's contemplated in the guide?
Ronald Kurtz: So I think that -- thanks for the question, Alan. I think that we did see a little bit of an uptick in Q4. I think that we're certainly hoping that, that continues through 2026. The guide obviously takes that into account as a potential. But maybe I'll have Mark comment further on that.
Mark Wilterding: Yes, that's right. The guide definitely does take that into account. As you know, we don't give quarterly guidance, but year-to-date trends have been factored into our full year outlook. Remember, when we look back a year ago, Q1 2025 was our best LDD volume quarter and our second best LAL unit volume quarter. And so total company sales increased, I think, about 30% year-over-year. So it's a difficult comparison and wanted to take that into account as well with our guidance.
Alan Liang: Got it. And then just a quick follow-up on gross margin. I think in the past, you've talked about high 70s as still being doable from a gross margin perspective going forward. Clearly, you're seeing some near-term pressure from manufacturing variances in 2026. But when I think about 2027 and beyond, is there any reason why you wouldn't be able to see that improve back up to the high 70s?
Mark Wilterding: Yes. We do look at this closely, as you can imagine. Longer term, we still do believe that's the case. We've proven that it's possible. We did achieve those types of margin levels last year. Ultimately, I think it really depends on what your assumptions for the mix profile of the business will be. Historically, a lot of the margin growth came from increases in the mix of LALs. And so as they have a higher margin profile, that's obviously worth taking into account. The other thing I'd note from a margin perspective is that international is still early. And so as that ramps, that also has the potential to factor into that long-term gross margin profile of the company.
Operator: Your next question comes from the line of Larry Biegelsen with Wells Fargo.
Larry Biegelsen: Mark, congrats on the new role. And since this is your first as the new CFO, I'd love to hear your guidance philosophy. And specifically, how much do you expect LDD placements to be down? Is 50% to 60% year-over-year a good range? And what kind of growth are you assuming for LAL volume? Is mid-single digit a good -- mid-single-digit growth a good place to be? And I had one follow-up.
Mark Wilterding: Sure. Thanks, Larry. So just starting with guidance philosophy. I think coming into this role, my focus is definitely on setting achievable guidance. It's based on a bottoms-up forecast and in the case of 2026, what we've seen year-to-date in terms of trends. I'd say, as Ron mentioned, we are seeing early signs of improvement, but we want to be realistic and take a prudent approach, and I want to reflect that in the guidance. So there's still work to do, but our focus is on delivering consistent performance over time. You asked a question on LDD assumptions. Our assumption is that we see a slight acceleration from the 2025 exit rate of about 25 units a quarter and that, that should increase through the year with the additional contribution of some OUS units as well. Q1 units, I would expect to be the lowest in terms of LDD sales. As far as LAL unit growth, I think it's fair to assume for the full year somewhere in that kind of low single-digit unit growth range for LALs.
Larry Biegelsen: That's super helpful, Mark. On the gross margin, maybe help us a little bit more on that. We've always been under the impression that LALs have a higher gross margin than LDDs. So how long is these manufacturing variances you talked about going to persist? And it does look like pricing was also down on LDDs in Q4, if my math is correct. So help us think about that going forward as well, please.
Mark Wilterding: I think in terms of the cadence of gross margin over the course of the year, our expectation is that we will still be working through some of the lower cost inventory in the first quarter of this year. And so for that reason, I think the likelihood of Q1 gross margin being above that range is there. I think, though, as you go through the year, we do anticipate that, that higher-priced inventory will make its way through the system beginning in the second quarter. And so for that reason, we do think that 70% to 72% gross margin is, like I said, prudent place to be for the full year. The anticipated higher LDD unit sales in the second half, and that speaks to, I think, the second part of your question about mix, they are also likely to put some additional pressure on that margin -- gross margin profile.
Operator: Your next question comes from the line of David Saxon with Needham & Company.
David Saxon: I wanted to follow up on the gross margin. So higher cost inventory starts to flow through in the second quarter. How long does it take for that inventory to kind of flush out and for us to see kind of true underlying unit cost as it relates to LALs?
Mark Wilterding: Good question. Thank you. As we said, we think it is transient. We will work our way through it over the course of the year. As I mentioned in response to Larry's question, shows up initially in the second quarter, and then it's something we'll have to contend with in the third and fourth quarter as well. Beyond that, we're monitoring it diligently and following the situation very closely. We think, ultimately, that we have positioned ourselves from an inventory level consistent with our expectations for 2026 and beyond growth. And so I think that is also taken into account in consideration with that guidance.
David Saxon: Okay. Great. And then my second is just on the traction you're seeing with this kind of commercial pivot. Would love to just understand what you're seeing, if you have any success stories and what's really kind of playing out that gives you confidence in kind of this back half recovery you talked about in the script?
Ronald Kurtz: Yes. Thank you, David. So it's just what you alluded to, we're seeing some early success stories as the teams are able to focus on individual practices and on their individual needs through a structured program. And I think that our belief is that, that will continue as we expand into a larger number of clinical sites.
Operator: Your next question comes from the line of Steve Lichtman with William Blair.
Steven Lichtman: Ron, I'm wondering on the initiatives, what you're seeing so far about the durability of the initiatives you put in place. I guess I'm wondering how long the more intensive effort needs to be before things change? And when your team moves on, are you still seeing the benefits?
Ronald Kurtz: I think it's still early to comment on that, Steve. I think that practices are dynamic. There are changes in doctors, in personnel. And so I think that the concept that we're going to be able to go in and just have a one and done where they're back on track is probably not the correct assumption, but we're going to continue to stay close to our customers. We have other reasons to do that as we continue to add additional capabilities to the technology. And so I think that we'll continue to -- maybe not with the same intensity and it may vary, it will vary depending on the specific needs of the practice, but we're not anticipating that this is going to be a one and done.
Steven Lichtman: Sure. Okay. And then just secondly, wondering how you factored in the competitive environment in 2026? And any qualitative comments you can make in terms of what you're seeing out there and again, how you're factoring that in?
Ronald Kurtz: Well, we certainly monitor the competitive environment. As you recall, in 2025, we had an unusual situation where we had the 3 biggest competitors all introducing new high-profile multifocal IOLs. We don't necessarily anticipate that. However, there will -- we already know that there are announcements of new premium IOLs, particularly in the presbyopia correcting space by some of the major players and some of the other players in the space. So similar to what we talked about in 2025, these things tend to be episodic and transient. They -- as marketing efforts coalesce around a new product launch. But then over time, the reality of the "new technology" is that they're essentially the same as the old technology, and that leads to a natural kind of return to baseline.
Operator: Your next question comes from the line of Aidan Lahey with Bank of America.
Aidan Lahey: This is Aidan on for Travis. One question on utilization assumptions for LALs. I know you said volumes up mid-single digits, but maybe I'm doing the math wrong, that implies utilization is down. So maybe you could double-click on that.
Mark Wilterding: Yes. Thanks, Aidan, for the question. In terms of LAL unit growth, up in the low single-digit range, I think, is the right way to think about it, which implies utilization stabilizes around 8 lenses per LDD per month.
Aidan Lahey: Okay. Great. And then on the premium market as a whole, I think you said that 40% of LAL patients would have otherwise received a non-premium lens. So when we think about the market growth as a whole, how should we think about RSD kind of gain for an incremental point of market growth?
Ronald Kurtz: Yes. As we've talked about previously, if you look back over the last 5 years and look at the growth of the premium segment, a very large fraction of that was -- is attributable to the LAL, specifically for the reason that you just outlined that it appeals to patients who don't want -- who either can't or don't want to compromise on quality of vision. And we believe that, that is -- will continue, especially as trends that are going on in the market continue to play out, such as younger demographics seeking earlier cataract surgery and therefore, being less accepting of reductions in contrast vision and other measures of quality of vision that the LAL doesn't impact. So we see those trends continuing.
Operator: Your next question comes from the line of Adam Maeder with Piper Sandler.
Adam Maeder: Mark, congratulations on the new role. Two for me, one on the guidance, one on international. So on the guidance front, I wanted to ask, I guess, for a little bit more clarification just around sequencing of models for FY '26. Is the right way to think about it Q1 kind of being the low watermark and then quarter-over-quarter sequential growth for the rest of the year? And then I heard recovery in the back half, the comps are also easier. So should we take that to mean positive year-over-year growth in the second half of the year? And then I had a follow-up.
Mark Wilterding: Yes. Thanks, Adam. In terms of total company sales, I think the expectation is that Q1, consistent with what we typically see will be the seasonally weaker quarter with some summer-related headwinds also in the third quarter. As far as year-over-year growth rates, we do anticipate that they will improve over the course of the year by quarter based on our assumption of improving fundamentals and also easing year-over-year comparisons. So I think the way you framed it is accurate.
Adam Maeder: Okay. Perfect. And then for international, it sounds like there is some modest revenue contribution embedded in the guide from OUS. Can you just help us understand which geographies that's coming from? And would love just the latest update on timing for Japan and China approvals.
Ronald Kurtz: So the -- we have -- as we've talked about before, we have received approvals in the European Union, the U.K. as well as some Asian countries, specifically South Korea, Singapore and some of the ASEAN countries and then just recently, Australia. So clearly, the revenue would most likely come from those. We've previously talked about the more lengthy review processes in -- for regulatory approval in China and Japan. We are pursuing those, and we'll have updates for that later in the year.
Operator: Your next question comes from the line of Danielle Antalffy with UBS.
Danielle Antalffy: Just a question just to get a little bit deeper into the international opportunity here. I'm just curious if you could talk a little bit, I appreciate it's probably early, but the go-to-market strategy you guys are thinking about there and especially from a system placement perspective, just given some of the budgetary constraints internationally and the competitive environment.
Ronald Kurtz: Yes. I think that just broadly, the -- as we've talked about, the international market is actually about double the size of the U.S. market and concentrated in approximately 20 individual countries. So it's certainly approachable by a company our size. We've begun to get our regulatory approvals, establish a footprint, whether that's a direct force or through a distributor in those -- where we've gotten those initial approvals. And our focus right now is developing KOLs and clinical data in those markets since we have gotten approvals without having to do a clinical trial like we did in the United States and where we had kind of a built-in I would say, KOL core of approximately 20 sites already. So we need to recreate that, of course. We do want to leverage all the learnings that we've had over the past 5 years, and that's certainly our plan.
Danielle Antalffy: Okay. That's helpful. And then just a quick question on the broader market. I mean, we're talking to docs sort of one at a time. So not sure how representative 1 or 2 physicians are. But it seems like the broader market environment is improving for the overall premium IOL segment. And I appreciate you guys are in your own sort of transition here. But curious if you have a view on the broader premium segment of the market? And is that, I don't know if accelerating is the right word, but re-expanding or shifting again after what feels like a '24 that was pretty suppressed from -- I'm sorry, '25, pretty suppressed from a penetration perspective.
Ronald Kurtz: Thank you. So I think we've heard from some of the third parties and other players in the market that there was some acceleration in the premium market towards the end in the second half of the year. That would be consistent with our observations. The premium market tends to be more resistant historically to macro headwinds. So although there are some whisperings of those, I think that -- we would hope that those historical trends would continue moving forward. And certainly, with the LAL kind of being at the higher end of the premium market that our customers would be less sensitive to those.
Operator: Your next question comes from the line of Tom Stephan with Stifel.
Thomas Stephan: I wanted to start sort of on guidance. Ron or Mark, maybe if you can give us, I'll call it, the key fundamental factors or what specifically implied that gets you to the top end of that range? I appreciate the fairly wide range. Just kind of curious what sort of gets you to the top end?
Mark Wilterding: Sure, Tom. I can start by taking that. Thanks for the question. I think when we look at the top end of the range or $135 million, it assumes increased traction from some of these internal initiatives that Ron has spent some time talking through and updating you guys on. So that would be, I think, the first assumption. I think beyond that, we would take into account faster utilization uplift with utilization growth especially higher in the second half of the year. And then the third factor would be competitive trialing and your assumptions for that. And so less headwind from competitive trialing would also benefit us, obviously, and lead to the higher end of that range. Anything you'd add there, Ron?
Ronald Kurtz: No, I think that's good.
Thomas Stephan: Got it. Super helpful. And Ron, maybe to pivot to you. I wanted to ask about innovation in the pipeline. Just curious if there's anything you can discuss or provide sort of on what may be on the come in terms of updates or development progress. I feel like we haven't heard too much of late. And I guess I'll ask directly, are there any new lenses potentially on the horizon for RxSight that we can look forward to?
Ronald Kurtz: Well, certainly, depending on the time frame, we'll continue to innovate both on the lens side and on the LDD side as well as other -- some of the other ancillary devices that are associated with our technology. I think that the best way to answer that is to review the pace of innovation that we've had, especially over the last 5 years, more than 20 significant product-related FDA approvals. That pace is really, I think, unheard of in the industry. And we continue to have opportunities even with our already released innovations to continue to penetrate the market with those having over 1,100 systems and 2,500 customers. So even without adding additional, which we do plan to, we continue to have a lot of raw material to work with. And just to put it into more of a historical context, we're about 5 years into this. Typically, the technologies that I've been associated with have 10- to 15-year runs of significant technology innovation. So I still think there are many additional applications that adjustability is going to be beneficial for.
Operator: I will now turn the call back over to Ron Kurtz, CEO, for closing remarks.
Ronald Kurtz: Well, thank you, operator, and thank you all for your interest in RxSight, and we look forward to updating you on our progress in future quarters. Goodbye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you for joining. You may now disconnect.